Operator: Welcome to the Broadcom third quarter and year 2008 earnings conference call. During the presentation all participants will be in a listen only mode. Afterwards, we will conduct a question and answer session. As a reminder, this conference call is being recorded, Tuesday, October 21, 2008. Your speakers for today are Scott McGregor, Broadcom’s President and Chief Executive Officer, Eric Brandt, Broadcom’s Chief Financial Officer and Peter Andrew, Vice President of Corporation Communications. I would now like to turn the conference over to Mr. Andrew.
Peter Andrew: During this call we will discuss some factors that are likely to influence our business going forward. These forward-looking statements include guidance we will provide on future revenue, gross margin and operating expense targets for the fourth quarter of 2008 and any other future period, as well as statements about the prospect for our various businesses, potential market share and the development status and planned availability of new products. You should note that the guidance we provide today is based upon forecasts that require us to make certain estimates, judgments and assumptions using the information that is available to us at this time. It should be clearly understood that our actual performance and financial results may differ substantially from our forecast and the other forward-looking statements we make today. Specific factors that may affect our business and future results including among other things, general economic conditions in the market we address are discussed in the risk factor section of our annual report on Form 10K for 2007 and subsequent SEC filings. A partial list of these important risk factors is set forth at the end of today’s earnings press release. As always we take no obligation to revise or update publicly any forward-looking statement except as required by law. Please refer to the investor section of our website at www.Broadcom.com for additional historical financial and statistical information including the information required by SEC Regulation G. Now before I turn the call over to Scott, I wanted to make two very quick announcements. Number one, I wanted to alert everyone to a few changes that we are making to our release today and in the future, to provide a bit more transparency into our business as well as a bit more clarity in communicating our results. First we have included our guidance in the press release, and secondly we have added a brief financial presentation on our website to help increase the transparency and clarity of certain items on Broadcom’s income states. Specifically, we have included additional data on our gross margins and a breakout of operating expenses in a number of different categories such as salaries and benefits, stock-based compensation, development and design costs and legal and other external fees among other items. This presentation can be found in the investor’s section of our website, on the right hand side, under Q3 2008 earnings information, titled other financial and statistical information. Secondly just as a reminder, we will be hosting our 2008 analysts day on December 8th here in Irvine. The invitations have been sent out, and if you did not get one or you need any additional information, please give either Andy or I a call. With that now let me turn the call over to Scott.
Scott A. McGregor: Thanks for joining us today. The third quarter was a superb quarter for Broadcom. We achieved record revenue and cash flow from operations. We demonstrated our ability to keep a tight rein on operating expenses while continuing to make strategic investments in R&D to drive future business, all in keeping with our theme of profitable growth. The investments we made in 2006 and 2007 are bearing fruit today as our Q3 revenue grew 37% year-over-year, dramatically faster than most of our competition and the semiconductor industry in general. Total operating expenses grew only 8% year-over-year versus our 37% growth in revenue, helping to drive our GAAP operating margin to a level not seen in a number of years and back above our historical range on a comparable basis excluding stock-based compensation expenses. We grew the top line, and even more importantly, we grew our bottom line faster than our top line. Eric will talk about these accomplishments in more detail later. While we continue to believe that we are a product driven company, as you can see in our Q4 guidance we are not entirely immune from the current issues present in the economy. Because of that we started taking steps last quarter to control our costs. We have limited our headcount additions in most areas to replacements of departing employees, and we have begun a variety of other cost saving measures. A few areas where we are increasing our investments show the greatest ROI from design wins already in hand. Our Q3 results show that we have the ability to slow down the rate of growth in spending and deliver leverage to the bottom line. Our management philosophy in these economic times is as follows. First and most importantly, we remain committed to profitable growth. We will strive to grow both the top and bottom lines. Although it will be tough in the near term with revenue expected to decline in Q4, we will restrain our operating expense growth. To that end our hiring and other expense controls will remain in place until we are more comfortable with the business environment. We will not cut our tape-out spending though, as tape-outs enable new competitive products and cost reduction. Second, we have a very strong financial position, and so we’ll continue to make strategic R&D investments and acquisitions and we will buy back additional shares of our stock to create shareholder value. Finally, we are a product-driven company, and so we will continue to focus our efforts on delivering new, highly differentiated products that enable our customers to differentiate themselves in the market. We moved the 65 nanometer process node more quickly than most of our competitors which combined with our expertise in technology integration and our broad product line creates an excellent opportunity for us to put further distance between us and our competitors. We expect to emerge in an even stronger position at the other end of this down cycle. With that, let me turn the call over to Eric.
Eric K. Brandt: As Peter mentioned, please refer to the new data breakout on the investors section of our website for additional financial information that will supplement my financial commentary. This new data includes detailed breakouts of employee salaries and benefits, stock-based compensation, engineering/prototyping and mass costs, and external professional fees incorporated in our R&D and SG&A expenses. We have provided this information to increase transparency and to provide a baseline for financial models. Moving to the financial overview, we are pleased with our Q3 results. To summarize record revenue of just under $1.3 billion including $38 million in royalty revenue from Verizon was up approximately 37% from a year ago and is at the upper end of the range provided in our Q2 earnings goal. Year-to-date revenue is up almost 30% over last year. GAAP gross margin including Verizon was 52.3%, down about 150 basis points from last quarter. Verizon royalties represented 140 basis points positive effect to the gross margin. Total GAAP operating expense of $522 million declined slightly by $1 million over Q2. I will talk more about this in a minute. Year-to-date operating expenses are up only 12% over last year which is significantly less than our revenue growth over the same period of nearly 30%, clearly providing leverage to the operating margin line. GAAP earnings per share for Q3 were $0.31 just shy of a record. Broadcom experienced EPS growth in excess of 500% over Q3 of the prior year. Stock-based compensation expense in the quarter was $133 million or roughly 10.3 points of revenue. This represents an overall reduction of roughly 4.5 points year-over-year. More details of the exact breakouts can be found in our new slides on the website. Cash flow from operations was a record $286 million. Our cash and marketable securities increased to a balance of $2.29 billion at the end of the quarter. Revenue and gross margin, in July, we said we expected Q3 revenue could be approximately $1.25 billion to $1.3 billion assuming roughly $35 million in Verizon royalty. We said we expected modest growth within our broadband end market and solid growth in both our enterprise networking and mobile and wireless targeted end markets. What occurred in Q3 was overall revenue growth consistent with the guidance provided. With respect the broadband communication market, as anticipated, we saw a modest increase in revenue driven by growth in digital TV and blu-ray offset by modest declines sequentially in our broadband modem and set-top box business. In the mobile and wireless market we experienced strong growth across all of our major segments driven by particularly strong performance in Bluetooth, touch-screen controllers, GPS and wireless LAN product lines. Our enterprise networking target market also grew sequentially during Q3 principally driven by continued solid growth in switching. Revenue distribution for Q3 was as follows. Broadband communications was 35% of revenue. Mobile and wireless which includes the Verizon royalty was 38%, and enterprise networking accounted for 27% of revenue. Our GAAP gross margin decreased 150 basis points to 52.3% which as we forecasted, is more consistent with our long term operating model. Recall, this is an adjustment from the unusually strong resulting Q2 which came as a result of: one, favorable product mix; two, increased demand for higher margin older products; and three, strong cost controls. Moving to operating expenses, we had much better than expected performance in controlling our operating expenses in the third quarter. Total GAAP operating expenses for Q3 were down $1 million from Q2 levels. Excluding stock-based compensation costs the sequential decline was approximately $7 million. This was substantially lower than our guidance of $15 million to $20 million increase provided in July due to principally two factors. One, a shift in timing of legal and tape-out expenses from Q3 into Q4 which we estimated totaled approximately $7 million to $8 million some of which is visible in the additional schedules provided on our website. Two, our ongoing efforts to control the growth of headcounts and other operating expenses. What is encouraging is that our efforts over the last 12 months to control operating expenses are clearly paying off. In addition, should the current economic situation slow down further we believe we are already a few steps ahead of the competition and feel we have much better tools and processes in place to make additional changes, should they be necessary. Q3 R&D expense totaled $379 million and represented 29.2% of sales a decrease of approximately 240 basis points. R&D included $93 million or roughly 7.2 points of stock-based compensation. Excluding stock-based compensation this represents a return to our historically targeted range for R&D spending. We have not been within our range of targeted R&D ratio to sales for eight quarters. Due to strong expense control combined with better than anticipated revenue performance year-to-date, we are continuing to see solid leverage in the R&D line. We increased totally company headcount in Q3 by 167 people to a worldwide total of 6,853 people. Moving to the balance sheet, as I mentioned earlier total cash and marketable securities were up solidly at $2.29 billion as we generated very strong positive cash flow from operations of $286 million. As we suggested last quarter we needed to increase our inventory levels in Q3 to support record demand and shorter lead times coming out of Q2 creating inventory turns well above our targeting range which we have historically estimated is in the 7 to 8 range. As a result of actions taken, GAAP inventory turns dropped to 7.7 times in Q3. We anticipate returning to a level closer to the more recent run rate of eight times next quarter. Our accounts receivable days outstanding remain very solid at 35 days driven by good linearity in the quarter. As we mentioned on our last call early this quarter we completed a $1 billion share repurchase program announced last November. In August, the board approved a new $1 billion share repurchase program. In the third quarter we did not purchase any shares on this authorization due to the timing of the authorization and proximity of the pending AMD DTV transaction to the end of the quarter. You should expect us to be back in the market in the fourth quarter with respect to our share buyback program. On a GAAP basis, diluted shares outstanding were down another 6 million shares to 524 million diluted shares outstanding at the end of Q3 due mainly to the movement in the share price. Moving to expectations, we currently expect Q4 revenue to decline 5% to 10% which equates to roughly $1.17 billion to $1.235 billion including Verizon royalties but excluding the digital TV acquisition. In looking at what we expect to happen in Q4, in broadband communications, we expect sequential revenue growth driven by growth in the set-top box market. In mobile and wireless we anticipate a modest sequential decline driven mostly by the trend that some of our large customers have peak seasonal holiday orders in Q3 of this year. Our enterprise networking business should decline across the board as spending moderates seasonally from our customers’ customers slowing their enterprise spending in the current economic environment. We expect our GAAP gross margin to decline approximately 50 to 75 basis points, principally driven by product mix. With respect to GAAP operating expenses in Q4 we anticipate the total operating expenses will grow approximately $12 million to $17 million over Q3. This includes the previously mentioned timing delay of approximately $7 million to $8 million in spending from Q3 to Q4 in the areas of legal fees and tape-out costs. We expect total stock-based compensation to be around $130 million depending upon various factors such as the closing of the AMD transaction, our stock prices, etc. which are not included in this estimate. Cash flow from operations is expected to remain strong. Again, please note these estimates do not include the AMD transaction. And now I would like to turn the call back over to Scott to discuss the state of the business.
Scott A. McGregor: I would like to talk about the state of our business starting with our broadband communications end market. If you go back to the beginnings of Broadcom in 1991 we initially focused on providing component solutions for cable modems and cable set-top boxes. Since that time we have grown our broadband communication revenue to nearly a $2 billion per year business. Our broadband communication business continues to be very well positioned to benefit from three large and long-term growth opportunities providing silicon solutions that enable voice, video and data delivery to and throughout the digital home. The first of these is the service provider battle for household market share. Right now there is a fierce battle underway among the cable, satellite and telco operators to deliver increased HD content along with bundled services to the consumer. Service providers have been upgrading their networks and consumer premises equipment to provide additional HD channels, greater Internet speeds and voice services to capture a greater market share and increase their revenue per household. As a result, many Broadcom product lines benefit from these positive trends in the service provider space. Second is the transition from analog to digital television. In February 2009, the FCC is scheduled to turn off terrestrial analog TV signals. Along with the existing digital tuner mandate requiring TVs to include a digital tuner this has generated strong demand for our digital TV converter box and set-top box solutions. Third, an additional benefit from the transition to digital broadcasting, is the increased demand for home technologies to distribute digital media and information throughout the home with portable devices using Ethernet, wireless LAN, Bluetooth and MoCA. None of our competitors have the networking product breadth to address all of these opportunities like we do. So, as Eric mentioned earlier, third quarter broadband revenue met our expectations as seasonal strength in digital TV and blu-ray was offset somewhat by decreases in our broadband modem and set-top box business. While down a sequential basis the set-top box and broadband modem businesses each experience very strong year-over-year growth rates. Sales of our blu-ray SOCs were seasonally strong in the third quarter as our customers were getting ready for the holiday season. A quick scan of some major retail websites found blu-ray prices points as low as $229. Our next generation blu-ray SOCs which combine both the front and back-end functionality into a single chip should further lower the cost from manufacturers to help drive demand elasticity. Although improved picture quality is a key differentiator with blu-ray we are starting to see communication technologies being integrated into blu-ray players to enable additional services. Announced just yesterday was the world’s first networked blu-ray disc player featuring Netflix instant streaming. The LG BD300 player incorporates our blu-ray system solution with integrated Ethernet networking capabilities. This is just another example of how important networking capabilities are to enable differentiated solutions in the consumer marketplace. We are also seeing interest in incorporating other Broadcom connectivity technologies, such as wireless LAN, Bluetooth and MoCA into set-top boxes, digital TVs and other devices. Our digital TV product line also experienced a strong third quarter, and we made two significant announcements in the quarter. First, we rolled our next generation family of digital TV SOCs that feature 3-D graphics, intake four support, integrated Ethernet networking, and an expanded footprint into Europe and Asia by incorporating an integrated DVB-T terrestrial receiver. Second, we announced our intention to acquire the AMD digital TV business to expand our product line and customer base within the digital TV market. Broadband opportunities in 2009 and beyond include the following. The ramp of next generation broadband modems, such as VDSL2 and DOCSIS and these are expected to roll out in greater volumes enabling 100 megabit Internet access and IP TV services. Also MoCA due to an increased operator interest in incorporating MoCA technologies into a number of different devices, we’ve expanded our efforts to capitalize on our investments in this area. Broadcom plans to integrate MoCA capabilities into our broadband modem home router and set-top box solutions. Another is Microsoft Certified set-top boxes. We are continuing to make excellent progress on our MS TV development between Broadcom, Microsoft and our set-top customers. As these products go to production, we’ll talk more about them. As we look into the fourth quarter, we’re expecting a pickup in our set-top box business driven mainly by demand for our cable set-top box products as cable MSOs begin analog reclamation activities to pave the way for a greater number of HD and DOCSIS channels. Moving on to the enterprise networking end market, Broadcom experienced solid revenue growth in the third quarter achieving record revenues driven by increased demand in switching. Switching revenue in total was up about 10% sequentially driven by increased demand at all speed grades from 100 megabits per second to 10 gigabits per second. Looking at the Top 10 customers within the enterprise networking market, the sequential revenue growth was across all geographies and across all end market segments from service provider, enterprise and small or medium business. Looking into 2009 and beyond we’re making strategic R&D investments in the switching and controller markets to drive greater adoption of 10 gig Ethernet deeper into the enterprise data center in metro. We’re expanding our products in carrier Ethernet and metro and adding other services such as storage and virtualization. We will also talk more about our efforts in the security space at our upcoming Analyst Day, so please stay tuned. For the fourth quarter, as Eric mentioned, we believe that our revenue coming from the networking market w ill decline on a sequential basis as spending tends to moderate seasonally and we’ve seen our customers within the server and switching markets slowing their overall bookings. We continue to believe that the market for enterprise networking will have long-term growth opportunities in the area of wireless and wire line service providers, data centers, SMB and enterprise. Moving to our mobile and wireless businesses, we experienced dramatic growth in the quarter growing revenue nearly 20% on a sequential basis and nearly 60% year-over-year. This growth in the third quarter was primarily driven by seasonal strength in our Blue-Tooth, wireless LAN and touch screen controller products. In the cellular area our team remains focused on execution. We are on track in hitting the various customer milestones on the path to production. We remain excited about what we have to offer in the baseband area in both the 2G and 3G spaces but more importantly on the entire cellular platform. As our customers begin shipping products incorporating our silicon, we look forward to talking more about them. We believe that the long overdue consolidation going on in the baseband industry both validates our platform strategy and will improve the longer term economics for platform suppliers. In wireless LAN and Blue-Tooth, two areas where Broadcom has clearly established a leadership position, it’s frankly becoming more difficult for us to comment on these businesses separately as we’re seeing very strong demand for our combination parts that include multiple wireless technologies. Broadcom led this wireless communications conversions trend with our Blue-Tooth plus FM part which first started to ship in early 2007 and continues to generate strong revenue growth for Broadcom. We are increasing the competitive distance between ourselves and others with triple play parts that combine best-in-class Blue-Tooth, wireless LAN and FM. Products incorporating our combo devices are available on store shelves today from leading portable media players and Tier 1 cellular handset makers, and you’ll see many more devices over time. We’ve shipped nearly 7 million units of the triple play part to date. Interest in these combo solutions is incredibly strong. We’re working with four of the top five cellular handset makers on our various combo solutions right now. To continue this momentum our plan is to announce three new combo solutions over the next four months starting with a part that we’ll issue a press release on later this evening. That part is the [TCM 2049]; it’s our next generation 65 millimeter Blue-Tooth plus FM part integrating key functions that would otherwise consume baseband power and resources. First, it integrates audio processing capabilities to improve voice quality, perform stereo decoding and lower system power consumption. Second, it has FM transmit capabilities so users can take advantage of the audio systems in their cars and home as they listen to music or talk on their phones. This chip is going to be the cell phone battery’s best friend allowing the baseband to sleep more while providing key features that are proliferating to almost every handset tier. In Blue-Tooth we continued to experience strong demand in the third quarter driven by strength in the audio headset, PC and cellular segments. Last quarter we announced that our audio headset solutions were shipping into a number of Tier 1 accounts. But I think that one area that’s been somewhat overlooked is the success that we’ve been having in the PC market. Blue-Tooth is being adopted into notebooks, PCs and ultra-mobile PCs as a way to interconnect keyboards, mice, headsets, printers and other peripherals with the main device. The good thing about this market is the number of PCs including notebooks and ultra-mobile PCs that ship, but the number of peripherals is a multiple of that. I think we’re still in the early phases of benefiting from PC and peripheral opportunities. Within the wireless LAN business, we had a very strong revenue performance in our third quarter driven by both growth in N and G. We experienced very strong demand for our 65 nanometer single-chip N based solutions. In Q4 we expect that our single-chip N solutions will represent nearly 80% of our 802.11n shipments most of which are going into products from leading PC OEMs. From a longer term perspective in the wireless LAN space, we’ve seen an increased interest in integrating wireless LAN into other consumer electronics such as TVs, set-top boxes and other devices for transporting audio, video and data around the home. The increased reach and bandwidth of 802.11n is what makes these applications possible. In our GPS business we experienced strong demand for stand-alone GPS solutions. We are clearly gaining share in the GPS market and we’re very pleased to be shipping our solutions into leading PND and cellular phone devices available on store shelves today. Our next generation GPS product, code named Barracuda, is in production and it’s designed in forthcoming PND and cellular handsets. From a longer term perspective, we view GPS as a very strong candidate for inclusion within our combo connectivity solutions. As we look into the fourth quarter, we believe that the overall revenue for our mobile and wireless businesses will be down on a sequential basis due mainly to customer demand and completion of builds for the holiday season which started in Q3 of this year. Moving on to the legal front, here are a few items to be aware of in the coming weeks. First, with respect to Qualcomm. On October 28 there’ll be a scheduling conference for our 051 patent case in the US District Court in Santa Ana. This patent is related to adaptive modulation schemes within a baseband and has so far withstood five separate Qualcomm requests for re-examination in the United States Patent and Trademark Office. We expect trial in the 051 patent case against Qualcomm to occur sometime in 2009. On October 29 a hearing on discovery motions will be held in San Diego with respect to Qualcomm’s discovery violations where Qualcomm’s former outside attorneys will be allowed to use privileged communications with Qualcomm to defend their conduct. With respect to SiRF technology, on or before December 8 we should receive the final determination of the International Trade Commission regarding SiRF’s infringement on multiple Broadcom GPS patents. The ITC will also issue its final determination on the appropriate remedy for SiRF’s infringement. That concludes our prepared remarks, so we’re now ready for your questions.
Operator: (Operator Instructions) Our first question comes from James Schneider - Goldman Sachs.
James Schneider - Goldman Sachs: Eric, you mentioned profitable growth as a theme throughout the call. I was wondering if you could address in 2009 if revenue growth is much slower, if it looks more like 2007 than it does this year, what are the steps you’re going to take in terms of throttling back on op ex and in kind of the worst case scenario, what could op ex growth be at in a kind of percentage or absolute dollar terms?
Eric K. Brandt: As Scott mentioned on the call, we’ve already throttled back headcount growth quite significantly. I think that we’re focused pretty much on replacement of open positions and just minimal ads to places that have the highest ROI. I suppose we can certainly throttle that back further. I don’t think we would do anything to tape-outs obviously because tape-outs do drive revenue as we move into production. The first is the good news. I think for a lot of companies they’ve been weakened all across the year by the economic crisis and I think as Broadcom you’ve seen that we’re probably in a stronger financial place than we’ve ever been as we exit Q3. So I think we enter this difficult time probably stronger than most. I think second, we understand our fiduciary responsibility and I think if things got worse or substantially worse, we would take the appropriate actions to move our cost structure more in line with the business. But I do think we’re in a good place and I do think we have the tools and processes in place to do this much better than we’ve ever done before.
James Schneider - Goldman Sachs: In terms of inventory management, I think your inventories were up about some 20% sequentially. Can you talk about what areas are elevated and what areas you think need to be worked on the most?
Eric K. Brandt: Inventory went up across the board. We saw, as you recall coming out of Q2, substantially higher revenue than we had forecast which put significant pressure on our supply chain and our operations group to meet that demand. In our business where we have a number of customers who have the potential to draw their lines down, the cost of underage is far greater than the cost of overage. We realize that we’ve probably run our supply chain a little too tight as we approached nine turns. So we brought it back down. There are some things that you put into place as you roll across the quarter and it takes a little while to sort of reach its level. But I think moving from 8.7 turns down to 7.7 turns and probably settling in the 8 range is where we should be so I suspect there will be some positive cash flow benefit in the total inventory dollars as we roll to the end of the year.
James Schneider - Goldman Sachs: Scott, within the enterprise networking business are there any areas you think are going to be much weaker than others in Q4?
Scott A. McGregor: None come to mind in particular. We’re seeing a good adoption and good traction on design wins across. I think the real question will be just what the IT spending trends are and what the ongoing rollout of infrastructure continues to be. We have continued to see strength for example in Asia deploying both wireless and wire line infrastructure and I think there’s a variety of opportunities there. But nothing in particular strikes me.
Operator: Our next question comes from Uche Orji - UBS.
Uche Orji - UBS: Scott, you mentioned the ongoing consolidation in the wireless baseband area. Let me ask you for your thoughts as to how you see the end play for the market and what role Broadcom will play. I think that what I’m asking is, are there opportunities for you to play more of a role of a consolidator now in the market place given all the properties coming to market from [Freescale] and then we had them from [TI]? If you can just share your thoughts on that and what [inaudible], that’d be helpful.
Scott A. McGregor: Frankly the baseband industry’s been defying gravity for a while with too many suppliers in that space. We launched a strategy for platform based technology rather than just baseband per se, and I think that’s become very important to our customers and becoming a trend in the industry. What we’re seeing now is a long overdue shakeout of the players who were primarily just doing basebands. That’s no longer sufficient to play going forward and I think that reality’s really hitting, which we’re pleased to see. I think two benefits of that; one, it does validate our strategy for platforms in that customers are constantly telling us that they don’t just want a baseband supplier, they want somebody who can supply a system solution that’s baseband and multi-media and radio and power management and connectivity and all those things that we do. So that’s very positive. Second is I think finally we’re going to see a path towards better economics for the cellular platform providers which maybe not a short-term trend but certainly something that’s going to happen over the longer term as the consolidation continues. In terms of Broadcom’s role, we made pretty heavy investments in the cellular space and I think we were able to build up all those key technologies. We will certainly look at opportunities that are out there but right now we think we’re in pretty good shape versus supplying products to the two main customers we’ve announced, Samsung and Nokia. We’ll continue to focus on execution of those.
Uche Orji - UBS: In terms of the environment, you talked about that in your opening remarks. What are you seeing in terms of pricing? Are there any areas where you’re seeing a greater than expected ASP pressure and how much you’ll be looking to offset that? The flip side of that question is also what are you seeing from the foundry? We’re hearing about utilization rates declining sharply in the foundry. Is that improving your ability to reduce your costs? There are two parts to the question, one is your ASP trends and what you’re seeing on the cost side form the foundry?
Scott A. McGregor: If you look a year ago, ASPs were declining very rapidly. I would say ahead of the normal trend in the industry. I believe ASP declines have slowed over the last few months. Part of that comes from what I would say is a chronic underinvestment in the foundry industry so prices for a lot of the core components of semiconductors have not gone down. For example, some of our products have a significant gold content in them. Those little tiny gold wires that they’ve mined out for chips can costs tens of cents in some of our larger products. We had gold effectively double. We had oil prices which have now moderated but peaked for a while there where they were roughly twice as much. That drove the cost of components and things like that. I would say that ASPs have definitely moderated and that’s because I think they came down very aggressively earlier, and we’re now seeing a little more supply constraint there. We’re now in a period of lower utilization in the foundries. I believe that offers some potential for lower prices but I don’t think it’s going to be like other cycles because I think the foundries are already pretty close to their target return on investment and capital. I think they’re going to be reluctant to go below some of that. So I don’t see the same decline in foundry prices as we might have seen in previous down cycles in the semiconductor industry. All-in-all I think that we’d probably see moderation in ASPs.
Uche Orji - UBS: On 65 millimeters, how much of your overall portfolio now is 65? And if you can talk about any plans you may have on 45, that might also be helpful.
Eric K. Brandt: In Q3 we shipped about 9% of our revenue volume on 65. We expect that number will move up into the double digits comfortably in Q4.
Scott A. McGregor: In terms of 45 nanometer, we’ve done a variety of test chips so far and we expect to be taping out products next year in 45 nanometer.
Operator: Our next question comes from Craig Ellis - Citigroup.
Craig Ellis - Citigroup: Eric, the company’s talked about bringing gross margins back into the middle of the target range all year. The guidance basically takes you there. Can you just talk about the gives and takes with gross margins as you think about where the company will be exiting the fourth quarter?
Eric K. Brandt: As we look to gross margin rolling from Q3 to Q4, it was really principally driven by product mix. As Scott mentioned, we’re in a pretty significant new product ramp cycle, and as we’ve said repeatedly those new products start out at slightly lower gross margins driven by being designed more for time-to-market as well as just overall mix of the business. We have said that we felt that our target margins that the company used on the IPO were the correct margins for us going forward and what we had seen coming out of 2007 and early 2008 was the anomaly. I think that we’re now back in the range that’s more realistic for the business.
Craig Ellis - Citigroup: So there’s nothing that you see that would indicate that you couldn’t hold the target gross margin range?
Eric K. Brandt: Again, we’re managing our business as best we can over the long term. We don’t give guidance beyond the quarter but we are running the business consistent with the business model and I think at this point that’s all we can say.
Craig Ellis - Citigroup: Switching gears a little bit, you mentioned the ability to be buying back stock in the current quarter. Certainly there’s plenty of dry powder on the balance sheet. Can you just talk about, one, how much cash you need to run the business, and two, how should we think about the pace at which you can use that $1 billion authorization?
Eric K. Brandt: In terms of cash to run the business, there are all sorts of ways to model this. From the bankers who visit me who tell me we need 17% of operating cash flow and that’s a real number that somebody said, and the way they get there is based on what’s the minimum amount of cash on average that the peer groups ever had in the history of companies, to people who say that you need one year’s worth of operating cash flow on the balance sheet. I think as a company we’re actually trying to do a much more sophisticated analysis of that. We’re understanding what the drivers of our cash flow are, where our revenue and cost structure would be if the economy were going to continue to impact the business and what that looks like. I’ll probably talk more about that on Analyst Day. Secondarily, in terms of use of the cash we have $1 billion authorization I think we could go as aggressively as we wanted, subject to our Board’s okay with that. We’re prepared to buy back shares. We were out of the market uncharacteristically mostly over the quarter and I expect we’ll be back in the market when the window opens again.
Operator: Our next question comes from Shawn Webster – JP Morgan.
Shawn Webster – JP Morgan: Can you give us an update on what’s going on with the AMD Digital Television acquisition?
Peter Andrew: We’ve signed our definitive agreement. We’re working through the process to get to the closing of that. We are not there yet, there are lots of little things that chase in and around. Our hope is that we can get there over the next couple of weeks. If not, as we do our 404 and control testing it might slip into the first quarter of next year.
Shawn Webster – JP Morgan: Can you talk about how bookings and order linearity trended over the course of the quarter and maybe even the first several weeks of October?
Peter Andrew: We can’t comment on Q4 but I said in my text that during the course of this quarter that we had pretty good linearity across the quarter which you can see in our DSOs. Q3 was pretty much as we saw in Q2.
Shawn Webster – JP Morgan: How about your component lead times? Is there any area that’s still tight or is everything pretty available for your customers at this point?
Peter Andrew: We don’t see any significant lead time issues at this point. There are a couple of small situations but nothing that’s a major factor right now.
Shawn Webster – JP Morgan: Looking into your guidance for Q4, down roughly $7 million at the midpoint. I believe you said the networking was going to be down a little more than the others. Is that in all segments, the controllers for PCs and switches, enterprise, service providers? Is there any detail you can give us there?
Peter Andrew: It was pretty much across the board. We don’t have more detail than that but it’s pretty much across the board and principally driven by the seasonal swing in Q4 for that business.
Shawn Webster – JP Morgan: Given the product mix that you have today, is there any comments, I understand that the demand environment is a little squishy, but how do you expect seasonality to fare going into Q1 for the first half of the year for your segments?
Peter Andrew: We don’t typically provide guidance more than one quarter. I think historically Q1 has been seasonally slightly down from Q4 but it’s too early to tell at this point.
Shawn Webster – JP Morgan: Any guidance you can give us on your op ex trends or is it going to be based as you said before on the macro environment in terms of what you’re going to do with headcount and spending?
Peter Andrew: Here’s the way I think op ex, realize that take outs occur as they need to occur and again we wouldn’t slow those down. Our legal fees tend to be a bit lumpy and you can see the lumpy affect this quarter. In fact if you look at the schedules that are on the website you can see that the tape out costs are down, a prototype tape out cost is down about $5 million and legal fees are down about $2 million, so there’s $7 million right there of that $7 million to $8 million we said moved from Q3 into Q4. I think as we roll across the time period and you were to net our stock-based compensation, we’re down about $7 million as I mentioned. If you take the amounts of money that we said pushed into Q4 and slid it back into Q3 you would see that excluding stock-based compensation our run rate of operating expenses excluding our normal focal and some other odds and [sods] that occurred in Q2 is pretty flat. While we can’t promise that I think that we are now looking at a run rate that’s beginning to get things as I mentioned at the beginning of the year from 5% to 6% sequentially down a 2% to 3% sequentially and I think excluding the lumpiness which we see which is inevitable in every business we’re seeing numbers that look much more like 1% to 2%. I think that’s the right way to think about the business and the right way to think about the investment of the business at the current run rate and should the run rate get better we can release spending and should the run rate get worse we will adjust accordingly.
Operator: Our next question comes from Adam Benjamin – Jeffries & Co.
Adam Benjamin – Jeffries & Co.: First on the enterprise switching business you’ve seen strong sequential growth and year-over-year about 30% there. I think the market’s growing about half that rate and I‘m just curious what you’re seeing there and what’s really driving the growth for you?
Scott A. McGregor: Adam, there are number of things. Certainly one of the things driving the industry is deployment of infrastructure for both wire line and wireless and we talked about that on our last quarter call where we’re just seeing a lot of data traffic and video traffic going across all these networks and with the advent of the HSPA phones and eventually LTE we think that’s going to dramatically increase even more. In terms of wire we’re growing faster than the industry. I think it’s a couple things, one is we’re taking share. We have dramatically stronger SMB parts, we have dramatically stronger switches. We’ve kicked out some competitors with some of our 65 nanometer products. Again this is the investment we’ve been making in the 65 nanometers. It’s bearing fruit. We have very competitive low power, high density, high capability parts. We’ve also grown into metro. We made an acquisition there about a year ago which has enable us to gain some traction there as well. A variety of reasons leading into that and we believe we’ve got a very strong performance in that business.
Adam Benjamin – Jeffries & Co.: Scott, on the base band side you guys talked earlier about platform, strategy and the you earlier talked previously about the desire to keep the base band business largely due to the fact that you want to be strong in connectivity, meaning Bluetooth, GPS and WiFi and you didn’t want to sacrifice that business. One of your competitors, TI, last night is indicating a different strategy and thinking that they can exit base band and keep at processors. I’m just curious if you can comment on that and your thoughts as to the divergence and strategies?
Scott A. McGregor: What we’re hearing from customers is that they really appreciate our offering and it’s sort of like a toolkit, if you will. When we look at portable devices, whether it’s a cellular handset or a Smartphone or many of the new hybrid or combination products coming out, a lot of the customers are trying to assemble a set of technology that consists of many of these things, from application processors to media processors to processors within the base band itself and then of course all the radio and PMU and PA, all the different myriad of technologies that go into this. What Broadcom has done is we’ve assembled the complete toolkit for all of those and many of those technologies we have the world class product offering, Bluetooth, wireless LAN, multimedia. We think we have the best product in that space. It enables us to really provide a great solution custom to what a large customer would like. If you look at the top five cellular guys they generally want to be able to mix and match and put things around and get flexibility. We found that to be incredibly attractive to customers. If you don’t have that capability then I think the best thing to do is to pick a particular niche and make a stand in it, but long term I don’t see that as a successful strategy.
Adam Benjamin – Jeffries & Co.: Should this put to rest any talk of you exiting base band at this point?
Scott A. McGregor: We have no plans to exit base band at this point and we believe we’ve got a great opportunity in cellular and the overall handheld market.
Operator: Our next question comes from Srini Pajuri – Merrill Lynch.
Srini Pajuri – Merrill Lynch: Eric, just a clarification on the inventories, can you talk about what’s in the inventories, the die bank or finished goods and also if there is any risk of potential write down?
Eric K. Brandt : We run a pretty tight reserve process. In fact this quarter we actually made sure that we had the reserves in pretty good shape. I don’t think there’s any specific risk associated with that. I am looking, Srini, while I get a chance here to give you the number because I have the number here, I just have to find it real quick. Finished goods inventory was roughly $215 million and raw and WIP was about $150 million. I think that’s gross. Isn’t that gross, Peter?
Peter Andrew: Yes.
Eric K. Brandt : And you have to take out the reserve provision which I think about $20 million but we can follow up with you on the call after that.
Operator: Our next question comes from Randy Abrams – Credit Suisse.
Randy Abrams – Credit Suisse: I wanted to see if you can talk about the FCC mandate? You mentioned that was one driver in near term that’s giving you business. If you could quantify approximately how much you’re getting from that and then as we get to the mandate do you see any potential fall off in that?
Scott A. McGregor: Randy, we’re certainly benefiting from it and I don’t have the breakout for you to give you exactly what’s due to the FCC cutoff in 2009 February. But, I think the key point and something I think a lot of people miss is that there’s a bigger trend which has a lot of the cable operators and others looking to do the same thing on all of the cable bandwidth and so forth so they can also make room for HD channels and other kinds of things and move to a DOCSIS technology to get higher bandwidth. For us we see certainly that as a near term driver over the next couple quarter and will probably go beyond February itself because people will find other TVs in their garage or find some VCR they forgot to convert. We’ll see a little bit after February but it’ll then trickle off but it misses the point that there’s a larger opportunity with the cable infrastructure moving over to again reclaim that bandwidth as well.
Randy Abrams – Credit Suisse: You talked about the combination parts, your four or five OEMs. Could you talk about maybe splitting it between Bluetooth FM and then also how much the attach on the full Bluetooth FM plus wireless LAN?
Scott A. McGregor: We don’t break that out specifically but Bluetooth FM, that part BCM2048 has been an incredibly successful part and certainly the handset world is now out shipping the stand alone Bluetooth so a tremendous success in that space. The BCM4325 is the triple play part we have out there today. In our last earnings call we said we’d shipped almost a million units and now we’re at 7 million units and we see a pretty steep growth ramp. We talked about working with four of the top five handset makers, it’s a lot more than four we’re working with, but four of the top five handset makers on various combo products and as I said in previous earnings calls we believe the BCM4325 is going to be a hot product. It’s designed into PCs, it’s designed into cellular handsets, it’s designed into media devices and other things. It’s a great product and we’re seeing a huge customer acceptance of it.
Eric K. Brandt : Srini, let me just come back around to your question, I have the numbers now in a net format. The net number on inventory in WIP is about $131.5 million and the net number in finished goods about $191 million.
Operator: Our next question comes from Gary Mobley – Piper Jaffray.
Gary Mobley – Piper Jaffray: I believe your main 65 nanometer production partner is losing money on 65 nanometers and has been raising pricing a bit. I’m just wondering for your WiFi products and anything else produced on 65 nanometers how you may have lost your edge from a cost standpoint compared to 130 nanometer solutions? Eric, what’s the impact on the interest income line from being shorter on the yield curve and then as well what the impact of the RD tax credit passage will be on the tax rate?
Eric K. Brandt : Let’s save beyond the tax credit for a follow up call because it’s a much longer conversation but it’s positive to us. With respect to being short on the yield curve I guess the good news is we really don’t have much exposure to bad securities. We had one small little note of $5 million that we had a small write off on. It probably will ultimately go to term for the full amount. We’ve had actually no exposure and no real major exposure at all to any of this credit crisis and bad pieces of paper. The bad news on that is we’ve seen our yield go from 5% last year down to about 1% this year. In some respects it’s making the cash less valuable to the net income line. I guess the good news is that the operating income of the business is doing extraordinarily well that we don’t feel it and we have the ability to use that cash to buy back stock which would be quite accretive at these levels.
Peter Andrew: But all in all we’re very happy to be in triple As and Treasuries all this time looking back on it. On your comment on 65 nanometer, I have to correct the assumption you had in your question. We have three partners qualified for 65 nanometer and work with all three. We’re not particularly dependent on any one foundry for 65 nanometer. We have diversity there and our yields are looking good on 65 nanometer and we’re seeing that as a real strength. We’re happy that we made those investments last year. We think some of our competitors now are going to struggle a bit because they may have more trouble raising the bar to do the cost of moving to 65 nanometer in these more challenging times.
Operator: Our next question comes from Ross Seymore – Deutsche Bank Securities.
Ross Seymore – Deutsche Bank Securities: Scott, a question for you on the base band profitability statement you made about potentially that improving over time. Is that just because the consolidation you see in the number of vendors or are you hearing something directly from the OEMs?
Scott A. McGregor: No, that’s strictly based on economics 101 that if you have several dozen suppliers the margin will be lower than if you have several suppliers.
Ross Seymore – Deutsche Bank Securities: If you could just remind us on the AMD business, I know it hasn’t closed yet but could you just refresh us on what the metrics were there on the size of the business, the dilution, etc.?
Peter Andrew: When we reported it we didn’t give specific size of the business. We said that we were buying the business for $192 million. We said that it would be gross accretive, margin accretive, that it would be dilutive until the end of 2009 and that we were looking at.
Eric K. Brandt : Approaching EPS neutrality by Q4 of 2009.
Operator: Our next question comes from Tim Luke – Barclays Capital.
Tim Luke – Barclays Capital: As a follow up to that question, if you close it as you expect to in the next couple of weeks what should we think about in terms of incremental revenue then going forward?
Peter Andrew: I think what we will do is when we close we’ll issue a press release which will have that information in it. At this point it’s too early to report that because we just don’t know when it will close. It could close in two weeks, it could close Q1.
Tim Luke – Barclays Capital: On the cellular side in terms of framing the expectation based off the [inaudible] traction that you are seeing, you would expect to see some incremental revenue beginning in the third quarter or the second quarter of next year. What’s the framework for that and I was also wondering if, Scott, you might be able to give a comment on controllers. You have new products coming through there. When does it start to help you next year?
Scott A. McGregor: First of all on base bands we’ve only said that we expect to see revenue for that in 2009, we haven’t specified it any further than that and certainly as those products roll out we’ll talk about them. We’ll go to more of our traditional model at Broadcom of talking about products as they go to market. In terms of the controller business we expect to see next year that business to start picking up so probably troughing in the fourth quarter or first quarter, somewhere in there.
Operator: Our next question comes from David Wu – Global Crown Capital.
David Wu – Global Crown Capital: I was curious about two things, the first one is in terms of coverage, the backlog coverage for the fourth quarter, what is the rate of the backlog coverage at this point? The other thing I was wondering, Scott, you mentioned switches and customers stalling down in Q4. Do they pick up in Q1 if we don’t have an economic headwind, just normal seasonality?
Eric K. Brandt : With respect to the backlog as we’ve said and this hasn’t changed, we enter a quarter 80% plus book and that’s been our history and that’s not any different rolling into Q4.
Scott A. McGregor: In terms of switches, customers slowing down, normally the infrastructure builds tend to be first half seasonally strong mostly because of capital approval cycles and that tends to drive that. That would be a normal characteristic in the industry and I’m not an economist so I don’t know how to model the current economic situation on top of that. Normally we would expect some softening towards the end of the year and then strengthening in the first half again.
Operator: Our next question comes from Daniel Berenbaum – Cowen and Company.
Daniel Berenbaum – Cowen and Company: You talked about opportunity in net books around peripherals and PCs. Can you talk a little bit more specifically about the net book opportunity and how Broadcom benefits there? Then just quickly are we still using a 10% pro forma tax rate?
Scott A. McGregor: I’ll let Eric answer the tax rate question but certainly in terms of net books, Broadcom has quite a variety of products to offer into that space and I think I mentioned just Bluetooth as an opportunity where you can integrate a variety of peripherals. It’s interesting because the cost of Bluetooth you put in one Bluetooth transceiver in the net book and a Bluetooth transceiver in each one of the peripherals and it turns out that’s cheaper than the cables and the wire and the various other things that you would have otherwise used to connect it, plus it’s cool. There’s some advantages there in terms of just portability and moving things around, having keyboards that don’t have to be connected to the device, auxiliary keyboards, mice and things like that. We think that’s going to become an increasing trend and we’ve worked out some technology there to keep the power significantly lower than some other techniques so that it makes battery life work quite well. But Broadcom has an incredible plethora of products in that space, everything from Bluetooth to wireless LAN, multimedia, there’s an interest in various kinds of media processing in these portable devices. Certainly GPS is getting interesting and eventually some of the wireless broadband characteristics added as well. Again this is where Broadcom’s really wide portfolio of things really plays to our advantage and makes it quite interesting in the spaces.
Eric K. Brandt : Moving to the tax rate, Dan. It depends on whether you are a GAAP guy or a non-GAAP guy. If you’re a non-GAAP guy 10% has been the pro forma tax rate. If you’re a GAAP guy and you’re watching our tax rate this year it’s been running around 1% or 2% and that’s about what we pay in cash tax. For call away, we have about $3.5 billion in Federal NOLs and probably about $1.5 in California NOLs. We don’t pay a lot of cash tax. If you want to run a long term tax rate I would run 10%. If you’re going to run a GAAP tax rate, it’s probably low single digits that I would use.
Operator: Our next question comes from Craig Berger – Friedman, Billings, Ramsey & Co.
Craig Berger – Friedman, Billings, Ramsey & Co.: Is Verizon your only licensee and are you still actively trying to get more licensees?
Eric K. Brandt : By your question, is Verizon the only licensee of the ITC and Santa Ana patents, yes, that’s correct. We are not at this time looking to find other licensees at that patent but we certainly could look at that in the future. But we have not made that a business focus right now. Our primary business focus is to create great products and sell them and use the IP as a way to give us differentiation on those products. But we could look at different views of that in the future.
Operator: Our next question comes from Mahesh Sanganeria - RBC Capital Markets.
Mahesh Sanganeria - RBC Capital Markets: Scott, I have a question on set-top box, can you give us some more color on the drivers there? I guess one thing you’ve mentioned in the past is the transition to HD. Is that driving the ASP higher or is it just units and what are the adoption rates of HD and how far the growth can continue on this segment?
Scott A. McGregor: Peter might have some industry data for you on adoption rates but generally we get a significantly higher silicon ASP for an HD solution so there’s an opportunity there. Also because of the desire of the various cable MSOs to reclaim the bandwidth they’re really not deploying as many ST boxes any more, they’re really pushing the HD boxes and the newer boxes that give them that. So that dynamic plays really well into our space and for some of our competitors who supply ST boxes it’ll be a little problematic as those ST boxes come back. When they start pushing HD then they’ll have recycled ST boxes to offer customers who insist on an ST box. I think the market is really going to become predominantly HD going forward. We’ve got a variety of new products there and a lot of new technologies and we’re pretty excited about it. We definitely see the opportunity to grow the set-top box business ahead of the per unit or the subscriber rate penetration rate which if you just looked at the subscriber rate growth in the US that would understate what we see as the opportunity for Broadcom.
Peter Andrew: If you look on average in terms of what is being shipped today by our customers roughly 50% to 60% of the products that are being shipped are considered high end which means that include either HD or PVR.
Operator: Our next question comes from Ruben Roy – Pacific Crest Securities.
Ruben Roy – Pacific Crest Securities: Scott, you talked about a number of new products, a number of new areas that you are making investments into for 2009. I was just wondering in terms of the macro slowdown everyone’s seeing, what are some of the areas that you think are pretty well shielded from a product cycle standpoint against a slowing macro?
Scott A. McGregor: It’s hard to say. It’s a little uncertain where the macro stuff is going to go. Historically in other down cycles people have often tended to protect their cable TV subscription and sometimes cancel vacations and buy new TV sets. So sometimes you get surprised with what the opportunities are there. I think we’re going to have to wait and see and learn what our customers are seeing a little more over the next quarter or so to see the strengths and so forth there. But we’ve got a very broad diversified business and also we are penetrating a number of new areas with new products. Broadcom is driven to a large extend by product cycle and not just macro economics. I think you need to look at both of those factors.
Operator: Our next question comes from Quinn Bolton – Needham & Company.
Quinn Bolton – Needham & Company: I think I might have missed your comments so I was just wondering if you could give us sort of your sense what happened with both the DSL and cable modems in Q3 and then the outlook for Q4? Then just any commentary about the uptake, your outlook for DOCSIS 30 as we get close to the end of ’08 looking to 2009.
Scott A. McGregor: I think you’re probably referring to why we saw sequential decline for DSL and cable modems. I think they just got a head of themselves just a little bit. I mean there were just tremendously strong orders and so forth so I think the business just got ahead of itself a little bit and overall we see that continuing going forward and continuing to be a growth business.
Operator: Our next question comes from John Dryden – Charter Equity Research.
John Dryden – Charter Equity Research: Scott, for 3G phones, what’s your long term position on integrated base [inaudible] versus a discreet solutions?
Scott A. McGregor: We have both and we do what the customer things is best. Again, that goes back to the flexibility of having all the different technologies in the portfolio. We have some customers who want discreet radio, others who want integrated radio, we have some who want either media or application processors either integrated or discreet, PMU in, PMU out. And given that there’s a lot of sort of ideas people want more integration as you go to higher volume lower end platforms and less integration as you go to higher end lower volume platforms. I think having all of the legos in the box is really valuable here and we can do the best solution for each customer. So, we like both.
Operator: Our next question comes from [Mark McCatchney – Amtech].
[Mark McCatchney – Amtech]: On the Q4 guide, how much of the down sequential do you think is inventory that your customers may be burning in the channel versus end market? And then, I apologize, just a housekeeping question, have you recognized any of the Qualcomm royalty payments yet?
Eric K. Brandt : With respect to the revenue guide, we have tried all year long and we have said this repeatedly that we try to stress test the demand that we get so that it accurately reflects the demand that the customers have. So, we don’t believe there are large pockets of inventory out there. It’s a very dynamic situation and as customer’s demand changes they could wind up in some short cycle inventory situations but we don’t see much of that. We’re trying really to give you the best picture of real demand and that’s what the guidance is in Q4. What was the second half of the question, I’m sorry?
[Mark McCatchney – Amtech]: On the Qualcomm royalties?
Eric K. Brandt : The Qualcomm royalties are still hanging on the balance sheet. We’re waiting to get them finalized and through all the various pieces. I think it’s $28 million right now that’s hanging on the balance sheet which we hope will drop through soon.
Operator: Our next question comes from Tristan Gerra – Robert W. Baird & Co., Inc.
Tristan Gerra – Robert W. Baird & Co., Inc.: You mentioned areas where you would be increasing spending, if you could give us some specifics on what those areas are going to be assuming we continue to be in a down turn situation over the next two quarters?
Scott A. McGregor: Those are fairly limited areas. I don’t want you to get the impression that it’s broad based. Certainly, we’re continuing to invest in areas and with the existing team we’ve got a very, very strong engineering team at Broadcom and they’re doing a lot of cool things and creating new products but some of the areas, I’ll give you one example, because we’ve seen such a dramatic customer interest in the combo products we did add some additional sales engineers and support engineers and people to just address more customers. We found we were limited, that we had far more customers than we could handle. So, this is an example of one of those things that has a pretty good short term ROI and makes a lot of sense. Those are the kinds of things we’re looking at but we’re generally not making broad new investments as we watch the macroeconomic situation.
Tristan Gerra – Robert W. Baird & Co., Inc.: Then a quick follow up, some [inaudible] Cantonese have entered Q4 with much less visibility and as a result have provided a much wider range of revenue guidance. You mentioned that your backlog coverage was 80% plus. I think previously you had said 85% to 90%, should I read your 80% plus just as the same as what you’ve seen previously or still a little bit of [inaudible] in terms of visibility sequentially?
Eric K. Brandt : I think it’s the same as we’ve seen in the past. The reason we say 80% plus or 80% to 90% is it sort of enters the quarter and it can run up above the number and then run down and there are some puts and takes that move around inside the quarter that are not always exactly - you may recall our Q1 results were not exactly as we had forecast them. So, there is some movement within the business units which is how we get to the 80% to 90%. But, I don’t think our visibility has materially changed in Q4.
Operator: Our next question comes from Aalok Shah – D.A. Davidson & Co.
Aalok Shah – D.A. Davidson & Co.: Just a quick question, Eric have you or would you ever consider repricing stock options at this point for your employees?
Eric K. Brandt : I believe in our last shareholder proposal on our last proxy we took that out of the ability of our program so we cannot do that anymore so we would not do that anymore.
Operator: Our next question comes from Analyst for Kevin Cassidy – Thomas Weisel Partners.
Analyst for Kevin Cassidy – Thomas Weisel Partners: I have a question on the MoCA, it was mentioned twice in prepared remarks. Today we have one major carrier deploying the technology, there rumors that others may come in the cable space. Will Broadcom’s MoCA opportunity be focused on cable TV, satellite or Telecom?
Scott A. McGregor: Well, we see MoCA as an opportunity for multiple customers, a variety of carriers but also for a variety of devices like TV sets for example and other things. We see it as a very versatile horizontal technology that people will use to not only tie different devices to set-top boxes but communicate between different devices. It’s a very good standard high speed wired connectivity technology that leverages an existing cable installation in a customer’s home. It has a number of advantages, cable is relatively clean, if you look at alternatives like power lines, power lines is incredibly noisy and has a variety of problems when deployed in customer sites. It really provides the carrier level quality of service for high speed HD video, multiple HD streams and other things. It’s a good technology, we’re going to use it across a variety of things and that’s why we mentioned that we’ll use it in not just set-top boxes but also a variety of cable modems and even things like TV sets.
Operator: Our next question comes from Suji De Silva – Kaufman Bros.
Suji De Silva – Kaufman Bros: Stepping back with the living room connectivity, can you talk about how this plays out for you guys in ’09? There are a number of technologies you described, is any one of them going to have sort of an inflection point in ’09 or will it be steady ramp there?
Scott A. McGregor: Well, it’s interesting because various pundits like to debate what the connectivity technologies are going to be in the living room and who’s going to control that and so forth. I guess at Broadcom we really view ourselves as agnostic on that and our goal is to provide sort of all the key technologies we think are going to be important in that and it makes us less dependent on who succeeds and we participate sort of no matter who wins. I think certainly there’s going to be wired technologies like MoCA, I think wireless technologies will come of age and we’re big fans of 802.11N. We think it has both the reach and the head end bandwidth to enable multiple HD streams and we’ve certainly made some investments in technologies that improve quality of service and some of the encoding technologies so you don’t have like tears in the video and certain retransmit and other things to improve that. I would say those are certainly two technologies that we think are going to be very important in connecting the home going forward.
Operator: The final question comes from Steven Smigie – Raymond James.
Steven Smigie – Raymond James: I believe you guys have some exposure to GPON on the fiber to home roll out. I’m just curious what that market looks like for you guys in the coming year? And, would you guys consider getting in to EPON stuff as well?
Scott A. McGregor: GPON and EPON are certainly interesting technologies and we’ve taken a look at those. We haven’t announced any products in that space yet but it does remain quite interesting for us and as we bring such products to market we’d certainly talk about them. That concludes our call today. I’d like to thank everyone for joining us. Before we conclude I’d like to reiterate just a few points I think we covered today. First of all, we had a great third quarter, record revenue, EPS and cash flow from operations. Our strong revenue combined with the tight rein on operating expenses drove significant operating margin leverage and we’ll look to continue that theme of profitable growth. The third point I’ll leave you with is we believe Broadcom is very well positioned in this economic downturn with truly integrated product offerings and a scalable business model. As a result we see this as a great opportunity to emerge in an even stronger position as this resolves. With those thoughts, thank you very much and good afternoon.
Operator: Thank you for participating in the Broadcom third quarter and year 2008 earnings conference call. This concludes our conference for today. You may all disconnect at this time.